Operator: Good day Ladies and Gentlemen, and welcome to the Monro Muffler Brake First Quarter 2013 Earnings Conference Call. [Operator Instructions] I would now like to introduce Miss Jennifer Milan of FTI Consulting. Please go ahead. 
Jennifer Milan: Thank you. Hello, everyone, and thank you for joining us on this morning's call. I would just like to remind you that on this morning's call, management may reiterate forward-looking statements made in today's release. 
 In accordance with the Safe Harbor provision that the private security litigation reform act of 1995, I would like to call your attention to the risks and uncertainties related to these statements, which are more fully described in the press release and the company's filings with the Securities and Exchange Commission. These risks and uncertainties Include, but are not necessarily limited to uncertainties affecting retail generally, such as consumer confidence and demand for auto repair, risks relating to leverage and debt service, Including sensitivities and fluctuations of interest rates, dependence on and competition within the primary markets in which the company's stores are located, and the need for and cost associated with store renovations and other capital expenditures.
 The company undertakes no obligation to release publicly any revisions to these forward-looking statements that may be made to reflect events or circumstances after the date hereof or to reflect the occurrence of unanticipated events. The inclusion of any statement in this call does not constitute an admission by Monro or any other person that the events or circumstances described in such statements are material.
 Joining us for this morning's call from management are Rob Gross, Chairman and Chief Executive Officer, John Van Heel, President, and Cathy D’Amico, Chief Financial Officer.
 With these formalities out of the way, I'd like to turn the call over to Rob Gross. Rob, you may begin. 
Robert Gross: Thanks, Jen. Good morning, and thank you for joining us on today's call. We are pleased that you are with us to discuss our first quarter fiscal 2013 performance.
 After reviewing our quarterly performance, I'll provide you with an update on our business as well as our outlook for the remainder of the fiscal year. I'll also briefly discuss our long plan management transition, which take effect October 1st. I'll then turn the call over to Cathy D'Amico, our Chief Financial Officer who will provide additional details on our financial results.
 As we had anticipated, the first quarter remained challenging in terms of both top line and margins. However, we were able to somewhat navigate the headwinds we are seeing in our business and deliver EPS within our anticipated range.
 That said, we are not happy with our results. Sales for the first quarter were in line with the low end of our expected range while remain somewhat weaker than we had hoped. While gas prices have moderated somewhat recently and weather is more favorable than in Q4, the macro environment seems to be weighing more heavily on consumer sentiment. Customers are deferring trading down and prioritizing higher cost maintenance and repair purchases, which they have been able to defer longer due to the mild winter this past year.
 Our position as a low cost, trusted service provider remains strong. And we are maintaining shares evidenced by the fact that comparable oil changes were up 2.5% year-over-year. Significantly, customers are coming in. They're just not buying as much when it comes to maintenance and repair. This has further supported by our first decline in the average ticket since 2003. While weather was a negative factor for us in Q3 and Q4 last year, with the lingering effect on Q1, the good news is that it should become a positive for us in the back half of fiscal 2013.
 Our recent acquisitions continue to outperform. And the favorable industry trends and our business model advantages haven't changed. Our strategy, which we believe is the right one, also hasn’t changed. We continue to execute on the initiatives that delivered 11 straight years of positive comp sales and 20% average EPS growth.
 We have accelerated acquisitions as we said we would in times of slow organic growth. We are not happy with the start of fiscal 2013. And we expect near term results to remain choppy, while people need what we sell and can only defer purchases of our products and services for so long. I believe that sales will improve as we move through fiscal 2013 and customers start to opt for these deferred purchases.
 Now turning to our performance, let me begin by providing review of our first quarter results. For the quarter, our comparable store sales declined 7.2% versus a 2.3% increase last year. Comparable store sales for the quarter came in at the low end of our estimated range. We believe this is a function of the tough economic environment taking a greater toll on consumers and the lingering effects of this year's mild winter weather. In total, we increased sales by 2.6% to $169.2 million comparable to $164.8 million in the prior year first quarter due to contribution from our acquisition. Notably, our fiscal 2012 acquisitions continue to perform very well and contributed to our top and bottom line performance as we expected.
 Over the last several quarters, we have discussed actions that we are taking to combat gross margin pressure we are experiencing as a result of both the expected product mix shift for sales of lower margin tires, which was associated with our recent tire store acquisition and significant cost increases on tires and oil.
 We continue to leverage the increased purchasing power that has resulted from our recent tire store acquisitions and shifting purchases between our broad base of vendors. We're closely monitoring pricing to our customer and implementing increases where possible despite the fact that many of our competitors have not passed along similar increases. Although we raised tire prices in January and March, our gross margin remained under pressure, which was exacerbated by the loss of leverage from weak comparable store sales.
 In total, gross margins decreased 270 basis points during the first quarter to 40.3% versus 43% in the prior year. However, price increases have helped maintain our average gross profit dollars collected per tire. As we have said in the past, we are focused on leveraging our business model to create sustainable long term value by capitalizing on our size and the strength of our company operated store model. In this regard, we have been working to increase our direct international sourcing primarily from China.
 As we've discussed on our last call, we achieved our goal for a run rate of approximately 30% of our total product costs less oil and out buys by the end of fiscal 2012. We continue to see an opportunity to at least partially offset future gross margin pressure particularly on tires by further increasing our direct international sourcing to a run rate of about 40% over the next 12 to 18 months. At the end of the first quarter, we were at a run rate of 34% direct sourcing. And we continue to evaluate opportunities to move that percentage higher.
 At the same time, we're careful in managing our costs. And our recent acquisitions will continue to benefit our operating margin. That said, our ability to leverage operating costs was hampered in the first quarter by the loss of leverage due to weak comparable store sales.
 For the first quarter, operating income decreased 24.7% to $19.7 million, which translates to an operating margin of 11.6% compared with 15.9% in the first quarter of last year. Net Income for the first quarter decreased 24.6% to $11.6 million from $15.4 million last year. Our earnings per share declined 25% to $.36 on a base of 32.2 million shares outstanding from $.48 in the prior year quarter.
 In terms of sales category trends during the quarter, nearly all were weak with the exception of comp oil changes, which is reflective of consumers deferring and prioritizing higher cost automotive maintenance and repair purchases. For the quarter, comp oil changes were up 2.5% year-over-year. Comparable brake sales on the other hand, which had held up reasonably well, throughout fiscal 2012 reversed a positive trend and were down 11% in the first quarter.
 Comparable exhaust sales, which were down 8% in the fourth quarter after being up 12% in the third quarter of fiscal 2012 and up an average of 4% over the past 2 years also weakened further and were down 15% in the first quarter.
 Comp sales for tires were down 6% in the first quarter. At 39% of our sales mix, we have a significantly higher mix of tires than our competitors with the exception of the independent tire retailers we are looking to acquire.  Tires are a big ticket item that we believe the last 18 months of price increases has resulted in increased deferrals. Given that tires are a safety issue and the need that consumers can only defer for so long, the ultimate reversal of this trend should positively impact sales in the second half of fiscal 2013.
 We continue to promote sales in the key categories through specific programs such as Oil Change & More in which our customers will see free tire rotations and brake inspections with the purchase of an oil change. And Brakes Forever in which we guarantee brake pads for the life of the car and replace pads for only the cost of labor. We believe that these initiatives continue to create value for customers and build trust. And are particularly important during tough economic times like these.
 Turning now to our gross strategy, we remain focused on increasing our market share through same store sales growth, opening additional new stores in existing markets, and acquiring competitor's, at attractive valuations. We expect organic sales to be weak for fiscal 2013 as result of continued pressure on consumers and our poor start to the year.
 However, we believe that we are well positioned to take advantage of the additional acquisitions that attract evaluation and have been accelerating these acquisitions so far in fiscal 2013 as has been our strategy during periods of slow organic growth. And importantly, these acquisitions will further expand our market share and our operating leverage positioning Monro for continued profitable growth. We have and will continue to pursue these transactions in a very disciplined manner.
 Now turning to our more successful recent pursuits. As discussed on our last call, we have been pleased with the results that we have seen thus far from the acquisitions we completed in fiscal 2012, which added $45 million in annualized sales. Both sales and earnings from these stores continue to be better than expected. Thus yield was slightly accreted in fiscal 2012. And the Turney Town stores remain on track to be slighted accretive in the first 12 months of ownership ahead of plan. Fiscal 2013 has also started off as a strong year for acquisition growth. As discussed on our last call, we completed the Kramer Tire acquisition in April, 2012, which added $25 million in annualized sales. 
 We also completed the acquisition of 18 retail stores from the Colony Tire business on June 4th representing an additional $25 million in annualized sales and expanding our presence in North Carolina. This represents a combined total of $50 million in incremental annualized sales so far in fiscal 2013 or 7% acquisition growth. 
 With respect to the signed letter of intent that we mentioned on our last call for a similar size transaction that we had hoped to close in the second quarter, their results have subsequently deteriorated. And we've decided not to go forward with the deal maintaining our discipline. However, we executed a definitive agreement to acquire 17 service stores from Tuffy Associates in Milwaukee, Wisconsin and South Carolina, which generate a possibly $9 million in annualized sales. This new deal is scheduled to close in August.
 We continue to see more opportunities for attractive deals than we have in the past several years due to the increasingly and difficult operating environment, cost pressures, and grow in seller concern over potential future Income and careful against tax increases. In fact, we presently are at 8 non-disclosure agreements signed, which is one more than we had in the pipeline last quarter even after having completed one of the acquisitions. We have a strong pipeline of attractive deals lined up and plenty of liquidity combined with strong cash flow to complete these deals. We remain very disciplined on the prices we will pay. And believe that this extremely favorable acquisition environment will continue through our fiscal 2014.
 I'd now like to briefly discuss our outlook on the environment and industry prospects. While gas prices have moderated recently and the weather has been more favorable, high unemployment and the turbulent macro environment continued to negatively impact consumer sentiment and purchasing behavior, which affects Monro as a service and retail business as well as the whole industry. However, as we have always said, the good news is that our services and products are a need, not a want purchase.
 Significantly, the U.S. market had 9 consecutive years of averaging approximately 17 million new car sales through 2007, which had grown the number of vehicles in our sweet spot of 4 to 12 years old to an all time high. Plus in our view, the 14.5 million in new car sales projected for calendar 2012 will not dent the growing age of the average vehicle in the U.S. fleet. And now at a record 10.8 years, which will drive our business forward. In short, we believe the long term trends for our business are still in place and remain very favorable notwithstanding occasional short term choppiness like we are experiencing.
 Let me now turn to our outlook for fiscal 2013. As we discussed, trends in the second quarter of fiscal '13 have remained lousy. July comp sales are down 6 while the oil change traffic is flat. Our key sales categories remain down, which indicates that consumers are still visiting us for basic low cost maintenance but deferring larger purchases. Again, because consumers eventually have to get these needs addressed and with more normalized winter weather this year, we would expect our traffic in sales trends to improve significantly in the back half of the year.
 For the second quarter overall, we expect comparable store sales to decline in the range of 3% to 6%. We expect second quarter earnings per share to be in the range of $.35 to $.40, which compares to $.47 for the second quarter of fiscal 2012.
 For the full fiscal year, taking into account sales contributions from our 2 first quarters and one pending acquisition, we now expect total sales to be in the range of $715 to $735 million. And comparable store sales to be in the range of flat to negative 2% adjusted for days. This sales range does not include any potential acquisitions in the second half.
 Based on these assumptions, we now estimate fiscal 2013 EPS of $1.50 to $1.65, which compares to EPS of $1.69 in fiscal 2012 or EPS $1.65 excluding the estimated $.07 benefits from the 53rd week and the $.03 in due diligence charges related to the Midas deal.
 While we do not have visibility on when the state of the consumer might ultimately improve, there are several positives that will impact the second half of fiscal 2013 including moderating gas prices and much more favorable weather comparisons. Additionally, we will be up against flat comp store sales over this period. And we expect that customers will turn to us for repairs and replacements that can no longer be deferred.
 Given these factors, we expect that comps will improve meaningfully in the second half of fiscal 2013. We expect the operate and expense margins will flatten due to improved sales and increased direct imports of parts and tires throughout the year. Importantly, our last tire cost increases were April 1st. And with tire input costs declining, we are seeing higher rebates and declining costs from some manufacturers. About time.
 Additionally, if the Chinese tariff comes off in October, we and the consumers should be the beneficiary. We continue to carefully manage costs, but expect a weak comparable store sales in the first half of fiscal 2013. And the fact that fiscal 2012 was a 53 week year, we'll offset SG&A leverage provided by our acquisitions and tight cost controls.
 With that said, we believe that we have not seen a better environment for accelerated growth though accretive acquisitions than we currently see. While trends remain challenging and we somewhat more cautious near term as a result of the previously mentioned macroeconomic issues, our long term confidence in our business and outlook for the industry remains very positive. There's still 240 million cars on the road in the U.S. that are getting older. Consumers still can't work on these vehicles. A number of overall service bays is decreasing. And independent tire dealers that we are looking to acquire are finding it increasingly difficult to continue and worrying more about taxes.
 Importantly, we remain confident that fiscal 2013 will be the year like we saw back in fiscal 2008, where weaker sales trends, economic issues, and higher costs sets a stage for accelerated acquisitions in the next few years. This will allow us to leverage our business model and to further improve our position as a low cost and trusted service provider, to continue to grow the business, and enhance shareholder returns.
 Our 5-year plan continues to call for high average 15% annual top line growth, 10% acquisition growth, 3% to 4% comps, and 1% to 2% green field stores. The acquisition growth will be slightly accretive year one. The $.08 to $.10 accretive year 2, and add an additional $.08 to $.10 year 3. Over the period, that should improve our operating margins approximately 300 basis points. And deliver an average of 20% bottom line growth.
 Now I'd like to speak briefly about the change in leadership with the upcoming promotion of John Van Heel to the position of Chief Executive Officer. Our Monro leadership team, the board, John, and I, and the other top executives all take a long term view of our business. We're committed to excellence in management. And we're also committed to a seamless leadership transition at the top and throughout the organization.
 As most of you probably know, I became CEO in 1999 and have served as Chairman since 2007. A little over 4 years ago, we promoted John as President in an effort to strengthen our team. And he certainly has done that and exceeded our expectations. And you can see that in our results. We also promoted John with plans for my potential successor in mind. We've been planning and preparing for this change for a long time. We have total confidence in John's ability to run the business. This transition represents a transfer of titles and a shift in ultimate accountability where John and I both share the same set of values. We are passionate about our business. We are passionate about our mission. And we see eye-to-eye on all of our basic business strategies. You will see continued execution on the strategies that have built the Monro business so successfully over the years.
 As for what I will be doing, I'm going to stick around. I will continue to serve the company though I will be spending much less time in the day-to-day operations of the business. I'm going to work with John on high level strategy issues. And will continue to focus a large amount of my time on acquisitions and investor relations. I will continue to be John's number one supporter and number one cheerleader. We look forward to the future and continuing our work to further strengthen and leverage Monro's position as a low cost trusted service provider to capitalize the opportunities we see in the marketplace.
 I am proud to be a part of this terrific organization for 13 years and counting. And believe Monro has never been in a better position for long term profitable growth.
 Before I turn the call over to Cathy, I would also like to thank each of our employees who continue to work hard to provide consistently superior service to our loyal customers. Monro's brand strength is a direct result of this consistent execution, which is an integral part of Monro's compelling customer value proposition.
 With that, I'd like to turn the call over to Cathy for a more detailed review of our financial results. Cathy. 
Catherine D'Amico: Thanks, Rob. Good morning, everybody. As Rob stated, for the quarter, sales increased 2.6%. New stores, which we define as stores that opened after March 26, 2011, added $17.7 million. Partially offsetting these increases was a decrease in sales from closed stores of approximately $1.8 million. And comparable store sales decreased 7.2%.
 There were 90 selling days in both the current and prior year first quarters. At June 30th, 2012, the company had 836 company operated stores. And that is compared with 802 stores on June 25th, 2011. During the quarter ended June, 2012, the company added 38 locations including 20 Kramer and 18 Colony stores and closed 5 stores.
 Gross profits for the quarter ended June 30, 2012, was $68.1 million or 40.3% of sales as compared with $70.8 million or 43% of sales for the quarter ended June, 2011. The decrease in gross profits for the quarter ended June, 2012, as a percentage of sales is due to several factors.
 Total material costs including outside purchases increased as a percentage of sales as compared to the prior year quarter. The company experienced significant increases in tire costs as compared to the same quarter of the prior year. And for competitive reasons, we did not increase selling prices to the degree that would have preserved gross margin percentages at prior year levels.
 Additionally, there was a shift in mix to the lower margin service and tire categories. Delayed occupancy costs, which are part of cost of sales increased as a percentage of sales from the prior year as the company with lower comparable store sales lost leverage on these largely fixed costs. Labor costs also increased slightly as a percentage of sales as compared to the prior year quarter.
 Operating expenses for the quarter ended June, 2012 increased $3.8 million and were $48.4 million or 28.6% of sales as compared with $44.7 million or 27.1% of sales for the prior year quarter. Over $4.1 million of the Increase in operating expenses is directly attributable to increased expenses, such as manager pay, advertising, and supplies related to the fiscal 2013 acquisition stores. And a full quarter of expenses for the fiscal 2012 acquisition stores.
 Other drivers of the dollar Increase in operating expenses were approximately $.6 million in due diligence costs related to the Colony, Kramer, and Tuffy acquisitions. Before these expenses on a comparable store basis, direct store expenses decreased $1 million as compared to the prior year. And store support costs decreased by approximately $.2 million demonstrating that the company experienced some leverage in this line through focused cost control.
 Operating Income for the quarter ended June, 2012 was $19.7 million, decreased by 24.7% as compared to operating Income of approximately $26.1 million for the quarter ended June, 2011. This decrease also as a percentage of sales from 15.9% to 11.6% .
 While net interest expense for the quarter ended June, 2012 was relatively flat as a percentage of sales as compared to the same period last year, the weighted average debt outstanding for the first quarter of fiscal 2012 Increased by approximately $31 million as compared to the first quarter of last year primarily related to an Increase in debt outstanding under the company's revolving credit facilities' agreements related to the Kramer and Colony acquisitions.
 Largely offsetting this Increase was a decreased in related average interest rates of approximately 230 basis points from the prior year due to a shift to a larger percentage of debt. That being revolver versus capital leases at a lower rate. The effective cash trades for the quarter ended June, 2012 and June, 2011 was 36.9% and 38.5% respectively of pre-tax Income.
 Net Income for the current quarter of $11.6 million decreased 24.6% from net Income for the quarter ended June, 2011. Earnings per share on a diluted basis of $.36 decreased 25% as compared to last year's $.48.
 Moving onto the balance sheet, our balance sheet remains strong. Our current ratio at 1.2 to 1 is comparable to last year's first quarter and year end. For the quarter ended June, 2012, we generated approximately $19 million of cash flow from operating activities. And borrowed about $30 million of debt, including the purchase of Kramer Tire in April, 2012, which added 20 stores and $25 million of sales as well as the purchase of Colony Tire in June, 2012, which added 18 stores and $25 million of annualized sales. As a result of the debt borrowing, our adjusted capital ratio including capital leases Increased to 21% from 14% at March, 2012.
 As part of the Kramer acquisition, 2 heavy truck tire repair stores, 2 wholesale operations, and a retread facility were acquired and subsequently sold during the quarter, with those proceeds of approximately $3 million effectively lowering our investment in the Kramer acquisition. At the end of the first quarter, long term debt consisted of $43 million of outstanding revolver debt and $49 million of capital leases.
 As a reminder, we have a $175 million revolving credit facility with a group of lenders that is committed through June, 2016. Additionally, we have a $75 million accordion feature included in the agreement. The agreement bears interest at live credit of 100 to 200 basis points and we currently are borrowing it live plus 100 basis points. This agreement permits us to operate our business including doing additional acquisitions this year without bank approval as long as we are compliant with debt covenant. Those terms as well as our current availability of $110 million, which doesn’t include the accordion gives us a lot of ability to get acquisitions like Kramer, Colony, and Tuffy done quickly. They're fully compliant with all of our debt covenants and have plenty of room under our financial covenants to do these and other acquisitions without any problem.
 Inventory is up about $8 million from March, 2012 due primarily to the addition of the up like 13 acquired stores, which accounted for approximately $4 million of the Increase as well as the continued expansion of inventory to reduce outside purchases. Inventory related to import products such as tires and filters added approximately $3 million as the company added products to enhance product assortment and share adequate [indiscernible] in light of longer lead times for foreign purchases. And to help reduce margin pressures. Additionally, inventory levels have increased due to cost Increases.
 That concludes my formal remarks on the financial statement. With that, I will now turn the call over to the operator for questions. 
Operator: [Operator instructions] We'll take our first question from Bret Jordan of BB&T Capital Markets. 
Bret Jordan: A couple quick questions here. And one of them is starting out with tires. Comp was down 6. Can you give us a feeling for what the unit comp was down for tires? 
Robert Gross: Yes, the unit was down low double digits. 
Bret Jordan: Okay, and I guess just in alignments, whether or not, are you seeing a softening of alignment correlation to tires as consumers are pulling back on spending? 
Robert Gross: Yes, there's absolutely a correlation between the lower tire units and the consumer pulling back. So you have alignment units down similarly. 
Bret Jordan: Okay, and I guess on tires, you talk about lower margin tires both impacted I guess from trade down as well as what might be an ability to pass through price, could you give us a feeling for sort of what we look at year-over-year on the quarter for margin -- in tire margin deterioration as what might have been from a trade down to lower price point as well as what might be the inability to pass through? 
Robert Gross: Yes, I think it's down about a little bit more than our consolidated gross margin is down. So when you look at it, we were down 270 basis points, a little bit higher that. And that really is due to the cost pressure when we typically have better margins on the lower end tires -- better gross margin percentages on those, and so you see it's basically due to the cost pressure. 
Bret Jordan: Okay, and I guess as you look at that and it looks like Tuffy just from an average unit volume is more weighted to service than it is to tires. Is that something that your pipeline is focusing more towards service than tires right now? 
Robert Gross: No, it’s not Tuffy. The Tuffy stores are due as volume similar to the Monro stores. On our side, they have a split of sales that's also similar to our Monro stores. Although our mix of sales for tires in our Monro stores is a bit higher there. But it's not a shifting of what we're looking at in terms of the opportunities are. And this was just an opportunity to get a continuous market and to fill in one of our other markets. And we would expect that with our ability to put inventory into those service stores, those service base stores, that we'll be able to get a great return out of them. 
Bret Jordan: Okay, and then I guess on that pipeline of acquisitions, it was 7 NDA's in hand. Is that primarily weighted to tire operations in that pipeline? 
Robert Gross: It is 8, and it is yes, it is weighted heavily to tires as it has been. 
Operator: We move now to Rick Nelson with Stephens. 
Rick Nelson: What gives you confidence that the deferral and the trading down is sort of going to run its course by the back half of this year? I understand the weather impacts, that that's going to drive more store traffic. But is it anything beyond that to give Q2 the comfort? 
Robert Gross: I mean, certainly we talked that the margins are going to get better. Certainly there is a good chance or 50/50 chance that the tariff is going to come off, which will make the price Increase on tires much more manageable. And there won't be sticker shock for the consumers. But we are up against flat comps last year with no winter. And tires are a safety issue. If you ask me when exhaust is going to rebound, I'm going to have a much harder problem because that's a quality of ride issue. But with tires and brakes, they wear out. And the rubber that are currently on peoples' vehicles have never been as worse shape coming off last winter. And one would think you were going to have to get it fixed irrespective of what's going on with the consumer. That all being said, I don’t have a crystal ball. But certainly I find it hard to believe that after what we went through last year with some of the price and sticker shock going away due to tire manufacturers starting to reduce their prices as well as some of the other things going on, how it can't be better than last year. 
Rick Nelson: Got you. And for the economy MDA's, can you give us some feel for the number of stores or revenues that we're talking about? 
Robert Gross: Yes, the number of stores is between 5 and 40 stores. And I think the best way I can describe the volume narrative, it would take a couple years of our 10% annual growth at least. So it's a healthy pipeline. Like we said, I've never seen a pipeline better than this right now. And there's a lot of flexibility on the seller side because they're have the same tough time that we are with the current market. 
Rick Nelson: And the low double digit current unit decline for tires in the quarter, how do you think that compared to the industry over that same period? 
Robert Gross: Yes, I think we're slightly worse than the industry because we maintained the margin. And we think that being on market where customers are pulling back anyway, we're not going to try to force volume because we just don’t think it's there. We're going to maintain some discipline on the price sides, and keep people coming through the door with driving traffic on oil changes like we are. 
Rick Nelson: With the pressures we did see in the quarter, I understand the mix towards the lower margin products. But if you look at gross profit in your major segment, the margins there aside from tires, which was discussed, how are they holding up on a year-over-year? 
Robert Gross: Everything's holding up fine outside of tires. There were a number when we report a 207, the basis points declining gross margin, that also incorporates a minus 7 comp, and we have distribution and occupancy as a part of our gross margin. And mechanic's labor as a part of our gross margin. So it not all cost of goods. A lot of the leverage we lost is not just straight cost of goods. Which to typically, to answer your question, things like exhaust, things like brakes, we do not see margin deterioration. Oil changes have been our traffic driver for awhile. Slight margin hit there, but in general, the lion's share as John said of the margin deterioration is the tire costs. Hopefully, it will reverse in the second half. 
Rick Nelson: And the time as far as saying it's going to help there, what sort of margin advantage are you getting with the direct source [indiscernible]? 
Robert Gross: Yes, on the parts side, it's greater than 20%, 20% to as much as 40%. And on the tire side, it's about 10% to 15% of an advantage there. And again, what we are -- we rolled out during the first quarter, we rolled out low cost radials, the entry level radials to all of our service stores. They were only in half of our service stores. It's about 250 stores. Again, those stores are selling about 2 tires a day. And we are in the second quarter, we are bringing in that second line of import tires that we referred to that's part of the Increase in the direct sourcing. That is meant to be the step up from that low cost, that kind of entry level tire. And we expect that to be a solid help to our margin. 
Rick Nelson: If I could take one more, take comps by month, April, May, and June if you have those. 
Robert Gross: Adjusted for days, down 4 in April, down 10 in May, down 6.8 in June. 
Operator: Our next question, we move to Scott Stember with Sidoti and Company. 
Scott Stember: Maybe talk about the raw material pricing. Rob, you alluded to the fact that you expect your input costs to start going down in the back half of the year. Can you just maybe dig into that a little bit more? When will we start seeing that a little bit closer? 
Robert Gross: I think costs are going to go down the second half of the year. Oil costs are going to go down the second half of the year. We said the second half and we set it for 6 months, Q1 and Q2 gross margin is going to be under a lot of pressure. Q3 and Q4, we start anniversary-ing the higher prices, which are now starting to recede. So in Q3 and Q4, they will make their way through the system. As far as any other categories, we're not seeing any cost pressure, so that should remain the same. 
Scott Stember: And you said that you're starting to see a little bit of an abatement right now. Should you see a little bit of benefit in the second quarter then? 
Robert Gross: No. No, by the time we'll sell through the higher priced inventory, again our estimates for Q2 incorporates no benefit until Q3 on the cost side. 
Scott Stember: Okay, and moving over to talk about now that you've moved over, far over into the Midwest, how is it tough to get into that product right now and will be supplying product through Rochester? 
Robert Gross: Yes, we will be supplying product there through Rochester. And right now they primarily source it from the NAPA's, Auto Zones, and Advances of the world. 
Operator: [Operator Instructions] We go next to Peter Keith with Piper Jaffray. 
Peter Keith: Question on the various players in the industry. Some of them seem to be still getting impacted by the warm weather that we had this past year. And I imagine that plays to you guys as well. I'm curious though if there's any noticeable regional disparity. I know you're mostly in the Northeast, but you do out to Missouri and the Mid-Atlantic, maybe states that don’t have a severe winter. Is there any change or differences in performance between some of those different geographic places? 
Robert Gross: No, no real differences at all. The only slight impact was when we had the hurricanes roll through the Mid-Atlantic. Those numbers dipped. We lost about $500,000 in sales with closed stores and power outages. But I mean we've been consistently crappy throughout all our areas. 
Peter Keith: Okay. What about with the product mix? Did the number of things that you guys would either sell or work on, it seems like everything across the board is pretty weak. Are there certain categories that should be more impacted by weather wear and tear on a cold or snowy winter that should be weak and maybe others that are sort of surprisingly weak from the economy? 
Robert Gross: Yes, I guess you mentioned cold or snowy winters. Obviously, tires is a key for the winter season. When it gets hot, you're talking about batteries, electrical, AC, air conditioning, those kind of things. 
Peter Keith: Okay. Yes, and even though a little bit of heat here, you're still not seeing much improvement? 
Robert Gross: Well, I mean air conditions and batteries are obviously holding up better than anything else. But I mean the bottom line is, were' 20% brakes. We're 40% tires. Those 2 areas are safety issues. Brakes held up last year, so we're encouraged that on the safety front, people are going to have to get this stuff done. Some of the other repairs like shocks and exhausts are more deferrable. 
Peter Keith: Okay. On the second quarter comp guidance, I guess it kind of seems to set up similar to Q1, so you're running at the low end of the range here for the first month. Is there something with compares for the upcoming 2 months that are a lot easier that give you some confidence that you could accelerate here in the coming weeks? 
Robert Gross: The whole quarter last year was weak. Frankly, I just can't believe we're going to continue to run record crummy numbers. So I might be wrong. I was obviously wrong in Q1 thinking that things would improve, and they didn’t. They stayed where they were. And certainly can't see it getting worse than what did in July, but I was wrong before. And my best estimate is that it's going to get slightly better in August and September, still not great. And significantly better on the second half of the year. 
Peter Keith: The last question made for Cathy specifically, could you just let us know what you're factoring in for interest expense within the guidance? 
Catherine D'Amico: Yes, for the year, we should be somewhere in the $4 to $5 million range for interest expense. And now we do have a lot of live positions that could go up. But barring so cheaply that a lot of that is out for capital rate systems as well. 
Operator: Now we'll take a follow up question from Bret Jordan with BB&T Capital Markets. 
Bret Jordan: Just on the sort of visibility on lower input costs into the second half. I think you did renegotiate your oil contract with Ashland. On the tire side, are you seeing manufacturers beginning to offer you lower price point product or lower prices if you commit to some volume on the second half that gives you I guess the confidence in lower input? 
Robert Gross: With regard to the oil contract, we are in the process of negotiating not only with Valvoline, but with other key players. We are getting that contract. I would expect us to at a minimum be buying oil for a dollar less year-over-year in the second half of the year. And we're looking to be doing better than that through our process. On the tire side, we are absolutely seeing greater rebates on specific lines not quite as much tied to annual volumes. So it takes different forms with different vendors, but though those kind of programs, we're absolutely seeing a softening in the tire cost side of things. 
Bret Jordan: Okay, and I guess if you look at that and you had taken a lot of price last year to help maintain the margin, that seems to have cost a little more this year here. Do you have a feeling for what you're Delta is versus competition on sort of comparable product regionally if you were to look at comparable years on a comparable product where you're off on price? 
Robert Gross: Yes, we typically would be about 5% higher, somewhere in that range. If you get closer to double digits, we get really sensitive to that and make adjustments back down. We continuously make adjustments back and forth on that. We talked about the increases we put through periodically throughout the year. But we're always adjusting back and forth. And globally, we haven't taken that down significantly in the last 7 months. We have adjusted within the lines. 
Bret Jordan: All right, and did you say on the quarter what your traffic comp was? I know you said in July, your oil traffic was flat. Did you give a number for what July traffic comp is? 
Robert Gross: No. I mean the traffic comp is going fairly -- oil changes are our traffic driver. 
Bret Jordan: Okay. What was traffic comp in the quarter I guess if total comp was down 7 and a fraction? 
Robert Gross: It was 2.5 was the oil change. 
Bret Jordan: All right, how about overall? 
Robert Gross: I don’t have that. 
Operator: And Mr. Gross, we have no other questions in the queue at the moment. I'd like to turn the call back over to you for any additional or closing remarks. 
Robert Gross: I just want to thank everybody for their time. And unfortunately their patience. We are doing everything we can. We have done nothing different than we have in the past. And we are going to work hard to get back to the kind of returns and earnings that you're accustomed to. And certainly, we're accustomed to over the last number of years. And we will go through this choppy period, and come out on the other side with a lot more store count, a lot better store density, a lot better operating margins, and a lot bigger more profitable company. And we appreciate you guys being along for the ride. And we'll be working hard, and certainly appreciate all the efforts from all of our employees that are working hard every day. So thanks a lot and have a great day. Bye. 
Operator: Ladies and gentlemen, that does conclude today's conference. Thank you everyone for joining us.